Daniel Julien: Good morning everybody. It's a pleasure to see you. It's almost 8:00. Unfortunately, we have a pretty dense agenda today Olivier and I. And so what we are going to do is we are not going to bother you too much with a long story that you have here. We are going to pass very quickly to the presentation to leave time to questions as I will have to leave a few minutes after 9:00 to catch the train. But Olivier will stay with you as long as you want -- until the last question.
Olivier Rigaudy: Come on.
Daniel Julien: So -- yes thank you. So, it's a disclaimer. Perfect. Okay. This -- you know it, there is nothing very new except it's a little bit larger and bigger than every single year. The results of 2019 were, of course, a recall. We had an organic growth at the -- double-digit organic growth €5.355 billion, which is $6 billion. What is important is we increased the margin and the net profit share of the group is at €400 million, which means plus 28% versus last year. And we are going to propose to the general assembly of shareholders to increase the dividend per share to €2.40, which will mean an increase of the dividend by plus 26% versus last year. So, what is the story behind the numbers? The story behind the numbers if I'm at the right page, yes, it's the very first thing is that after the acquisition of Intelenet in India, we rolled out all the expertise in knowledge, services, and integrating artificial intelligence, and robotic process automation in all our regions. From our Center of Excellence in Mumbai and Delhi, we created a Center of Excellence in digital integration in Colombia for the LatAm; in the U.S., of course, for the English market. And we are in process of doing the same thing in Europe with a little bit delayed, but there is a full dissemination of the digital integrated with our human solutions which has helped us to strengthen our offer. Last year was super good year for the employment within this group because we created a net 25,000 jobs in one year in different countries, but it's still very significant. We launched a major, major cybersecurity program to make sure that the group would be best-in-class in terms of data security, anti-bad actors. And to do that, we benchmarked with the most advanced cybersecurity companies and this launch of the Eagle Project if I -- is going to be in two years. But if I remember well, its €70 million more or less
Olivier Rigaudy: €50 million -- probably €50 million, €60 million.
Daniel Julien: €50 million, €60 million, okay. So -- yes, but I'm sure that at the end it will be €70 million. They always tell us something and then it's always more. So, we strengthened our top management organization and you are going to see that later. And we centralized and reinforced the reporting of our group corporate social responsibility, because, in fact, this group has been very much involved in corporate social responsibility way before it was in the fashion, but maybe we did not communicated enough. So, now we are going to communicate much more on that. So, what happened? As usual we got a lot of awards and recognition, so I'm going to pass on that. These are the business recognition. Then these are the corporate social responsibility recognition and which I'm going to stay for one second which is the fact that today around the world, 70% of the group employees work in one of our company, in one of our subsidiaries that has received a best employer reward, whether Great Place to Work, Best Employer Program, depending on where it exists. And, of course, we are going to continue to develop that to reach 80% and 90% and so on. Second, we received for the sixth time in a row the Verego Certification in the five areas of social responsibility standards. And finally, we got the Morgan Stanley Composite Index in social governance with a AAA. Now, let's see what -- how we did that which is the strategy. First, we are gradually moving from being a front office customer experience manager to becoming a leading group in digital integrated business service. Our unique selling proposition to our clients is to make things simpler, faster, safer, better, more cost effective. And now we do that thanks to army of series, our knowledge services which are the analytics, the engineer -- the process engineers and all the business-oriented IT solutions and of course with the robotic process automation. You are going to see in future presentation, in future slide, our strategy high-tech, high-touch. And of course -- and somebody mainly it's a vision that it was our 31st quarter growing above 7% organic. Our aim is never to change the maximum growth or whatever. Our aim is to -- and which has been in the past and what is going to be in the future is to build a sustainable business model in terms of creation of value for all stakeholders, so we developed enormous activity within our world. What are the challenges and opportunities? You know that we are in the world of the digital transformation that impact absolutely every activity sector. We decided to embrace this digital transformation and this is the purpose of our 600 TAP consultants, T for technology, A for analytics and P for process. And in fact as we face an end to a more complex demand from our clients, we pass from being just a capacity provider to becoming solution designer. And these solutions are hybrid solutions that integrate the human and the technology. This enlarge our market. Finally, for the M&A, 2019 was a year of consolidation and integration after the acquisition of Intelenet in India. That's when better than we could have expected even. So 2020, 2021 are going to be -- we are -- the hunting season is open again. And we are going to look much more for of course specialized services, higher margin, the large U.S. market. We still have a love for the U.S. market. And it's going to happen likely in the next 24 months. So basically this slide explains to you that from the front of these customer service, we pass to front office, middle office and back office. There is something beautiful to explain that. Recently I was in Dubai. The team there took me to Abu Dhabi and told me "Daniel come to see our center in Abu Dhabi." And I discovered that for Abu Dhabi, we were the unique number for the citizen -- for the citizen of Abu Dhabi for the government. The government pay us. And anybody who lives in Abu Dhabi, whether you have a problem with the police or whether you need the police or you don't or you have a problem with the police. It depends. Whether you need the police, whether you need a doctor, whether you have an administrative purpose and so on, you call this center we reroute to the appropriate service and person, but much more we make the case management. So we make sure that your demand has been treated and we close the loop to make sure that you are satisfied with the solution that has been brought. To me, it's a little bit the vision of what could be the future of the day we are going to embrace our future world, a world of service and we are here at your service. So something important in the next slide is maybe the fact that in 2013 we used to make 5% of our revenue with clients coming from the E-economy. And in 2019 we make more than 20% of our revenue. You see the switch. And what is amazing to understand is that a lot of these companies that seems to be magic companies because they are app companies you think "Oh my god with a click I get the solution to my demand." In fact, there is still the real world. And these companies do not have the infrastructure to manage all the frictions of the real world. And we are the solutions to help them to manage what goes beyond the click. So we serve. In fact, the disruptors typically we help them to grow and to address the friction of the day-to-day business and we serve a disrupted by helping them to streamline their process. We do that with the team of again 600 TAP solution architect. We try to be and easy to work with partner because we are in 80 countries. And so we have the natural partner for the global companies. And by the way from few years ago, today 50% of our revenue come from global accounts. A few years ago, it was 30%. Today it's 50%, and it's continuing. We set up the situation faster, because we start from green, I mean – it means we start all our implementation matching very quickly the key performance indicators thanks to the Lean Six Sigma discipline. Safer, this is our focus on cybersecurity. And thanks to the – a great mix and our ability to geo-localize the operation were typically most cost effective. The model is very simple. There is the high-tech, which is to have a robust and reliable architecture IT so no downtime. Omnichannel which means seamless relationship for the customer, whatever the media it choose to contact us, integrating robotic process automation and AI to speed up the process and to reduce the risk of error data security and our solution architects. High touch, it's our army and our army of service we want to make sure that we have the best elements. So to hire the right people, we use predictive models to train our people instead of using the boring support of the 20th century we develop more and more gamification, interactive gamification training, coaching labs we could explain later on what it is. And we try to manage our people with a purpose, which is instead of managing them on boring KPIS we manage them so as they can reach the maximum bonus and it's a way that is much more committing for the individuals. We also want our employees to work in super good conditions that's the TP global ecosystem. Our campus are most of the time absolutely beautiful. They are kind of cathedral of the 21st century, beautiful architecture, color space, Great Place to Work. And we create a kind of multicultural cool environment, all that you'll have to manage it with passion for people, which is to have a management that is very, very close to the people, who do the service and do a very difficult job to address the irritation of the customer very often. And so you need to bring a lot of support, but at the same time a lot of discipline and the discipline is the statistical discipline of the Six Sigma, what is the distribution of the cover funds? What is the standard deviation? How do we reduce it? Three – excuse me. The expertise at Teleperformance is tridimensional, of course by line of business is it sales? Is it customer services? Is it tech support and so on? By activity sector, if we serve a bank, we have bankers serving a bank. If we serve the travel industry, we have people who are specialized in the travel industry and so on. Professionals speak to professional. And by the integrating the digital platform as much as we can. That's a cybersecurity. So I already told you about. This is more important. In fact, we have strengthened our corporate management by creating a pack – a very, very first-line pack of people that you see here, Olivier you know him. We ask a Bhupender Singh, become the President of transformation of the group, which is the knowledge services, the R&D, the marketing, the Lean Six Sigma, the IT and IT security. All the central support function of the group are managed by our friend Bhupender. Then for the business development we asked Eric Dupuy who moved from France to the U.S. to be the Global President for Development. And he has of course his teams by regions. Then the operations for the core business are split, because it's very wide, are split between two co-Chiefs Operational Officer, Jeff Balagna and Agustin Grisanti. Agustin leads everything from LatAm and Europe; and Jeff everything which is English and Asia Pac. They are supported by three Chief Client Officer; Miranda, who's with Teleperformance almost 20-something year, who is based in the U.S.; Stephanie is based in U.K. for Europe; and Gustavo who is based in Bogotá – no in Buenos Aires for LatAm. Bhupender is still for a few months ahead of Teleperformance in India, but it's going to be replaced by is number two as is going to have his two full hands more than full with taking the responsibility of the driver of everything that makes Teleperformance smart and dynamic. And Scott Klein, that many of you know who is our outstanding President of our Specialized Service based in Monterey, California. We -- corporate social responsibility, I know that there are a lot of debate and discussion in the press about that. It's something that has always been part of our DNA. So, we then in our industry to become the preferred employer on the group market because if we are the preferred employer, we can get the best people, the best agencies. And at the end of the day, it's a competitive advantage. Second, we want to be a force of good which means that in every community where we operate, we systematically have a positive impact versus this community through citizen of the world and citizen of the planet typically helping the young kids that have difficulties to go to school or something like that. To go through a scholarization system, I assume that we support something like 30 schools.
Olivier Rigaudy: 39.
Daniel Julien: 39. Okay. All over the world and citizen of the planet is the mobilization of our people to help to fight against the plastic. Finally, again we always have in mind that our role is to optimize the return of every single stakeholder which is not always simple because sometimes you play a little bit like the Chinese plates, but it means of course our shareholders need to be satisfied by our dynamic and our results. Our employees need to be satisfied, so as to deliver a very good service to the customer. We need to be satisfied. So, our clients are satisfied and payers and to our partners. They need to trust us to continue to be part of our dynamic. And I'm done. You know, that we upgraded our 2020 objectives in October or November last year. So, we stay on that and we are very comfortable with that. We think that we are going to have an organic growth of at least 7% per year. And 2022, we plan to make acquisitions between €250 million to €500 million in revenue. That should take us around €7 billion and we are going to continue to increase our margin. Having said that, that's all for my part of the presentation. I just would like to add that, yes, we have operation in China. Yes, these operations are seriously impacted. Yes, it's going to have an impact on 2020. We measured this impact. At this time, we think that the impact is going to be less than 1%. And at this time, except if something new arrive with the coronavirus. And as you expect, it's going to be less than 1%. It's absolutely within our security line and so, it doesn't change at all our 2020 guidance. When we give a guidance, we always say -- we give a guidance, but something unknown and that can be negative happen every year. Okay? Now we know -- I hope there will not be a second thing. But right now there is zero reason to change the guidance. Thank you, very much Olivier.
Olivier Rigaudy: Thank you, Daniel. I'm going to be as quick as possible. First of all, you know that we had the privilege like most of you to disclosed IFRS 16 impact this year that changed dramatically our figure in 2019 versus 2018. To make it simple, I believe there are four things to keep in mind about the 2019 figure. First of all, the growth. It's the first time that the group has achieved such a growth. We are following the path that we had over the last two years, but now we are above the double-digit figure close to 11% growth like-for-like. Secondly, not only we are growing, but we are improving our operational results margin. If you strip out the IFRS 16 impact, you will see that we are going to -- we have an improve of the operational margin of close to 30 basis points. Lastly, third point, we have also not only an increase in the operational results, but also an operation in net result. For the first time, we achieved €400 million result. I just want you to remember for those who are following us for some years, we were achieving €200 million net result in 2015. So, in four years, we have been able to double the result. And lastly, the last point which seems to be a little surprising or that seems to increase since we took all the impact of the IFRS 16 rule. But in fact, if you strip that out so that has decreased by €186 billion this year, so, as a whole, as you can see, a very good year. Coming back much more in detail about the sales. You see that here as the sales of the group. So, we had a put change in scopes that you remember that consolidated Intelenet starting October last year. So, the nine first months of the year, we had this impact of Intelenet. And of course, you have the like-for-like growth that is EUR 480 million. I just wanted to wait -- to stop a minute on this figure. I just wanted to tell this is a net figure. That means that not only we grew. We grew net of that. But the growth of the group is higher than that because, during the course of the year, some client has decreased their amounts. There are some changes that has been happening all along the year. So, that means that the growth activity of the group is higher than that, but that's a net figure that is shown on this figure. I'm just saying that, but because sometimes people believe that our objectives are not challenging enough. I just wanted to show that €480 million is a significant figure to be pointed out. It has been said by Daniel, so we continue to diversify our base. Now the Pay TV & Telecommunication is less than 20% of our sales. The tenure is increasing each year. The e-player has the 21% -- e-player client has been set up -- has been precise by Daniel a minute ago. Of course, now 50% of our clients are global accounts. That means that we are working with them at least in two country. So that changed the pattern of the group and we are more and more global.
Daniel Julien: Excuse me see that there is a mistake, sorry. But 2019 first client is not 6% of our business, but a little bit over 4%.
Olivier Rigaudy: I agree it's -- if you exclude LanguageLine.
Daniel Julien: But it's a group. Excuse me.
Olivier Rigaudy: Just a quick word about the revenue for the Q4 and the full year. Two things to be noticed. First of all, the full year figure of 10.6% like-for-like growth as mentioned earlier on. It's probably one of the best figures that has been achieved over the last 12 years of the group and has to be noted clearly. More interestingly is to see that the increase in the specialized service division. That was a question that you had most of you in the beginning of the year. Now we see that the specialized service is growing especially in the second half and in Q3 and Q4 again at a high level. If we move to Q4, you have 8.4% like-for-like growth made of different stuff mainly a fantastic growth in the Ibero-LATAM that continue to be sustainable for the last year. There are different evolution on the EWAP, CEMEA, India and Middle East and I'm going to comment a minute ago. Each of them have a specific issue to be mentioned. Keep in mind that we made a fantastic Q4 last year. Keep in mind that we grew last year in CEMEA about 18% in Q4. That explained partially the performance of 2019. But as a whole, we made a very good quarter. The 31st in a row of a growth, which is above 7% or 8% like-for-like growth. If we move to the margin, of course, 70 basis points of which to make it simple 40 basis points are coming from the IFRS 16 change. And you see that everywhere we are achieving good margin and growing specifically all along the year. We'll come back in a minute to that, but as a whole we are just confirming the growth that we are experiencing of margin in each division. Let's move quickly by division. North America 6% like-for-like growth with very high comp in Q4. We are making 6% growth in U.S. in Q4. Of course, the global environment in U.K. is not helping this zone. But finally, we have been able to achieve a very good figure. In terms of margin, we are stable despite the fact that we have this issue in the U.K. globally and we decided to open Japan and get out of Australia. So it's a very good performance in -- for the English world that is picking up again. If we move to Ibero-LatAm, I would say little to say 18.5% like-for-like growth on a full year basis, 22% -- close to 23% in Q4. I'm not going to comment in detail, but every country in this zone has delivered very good result. Whether it's Central America, South America or even Spain or Portugal all of them are doing great. And the margin if you take out the impact of IFRS 16 is just very good. It's just of course taking account the ramp-ups that are happening in this country. I just wanted you to remind that we made close to €100 million CapEx in this zone with new facilities that have been grown everywhere in the region. If we move to Europe, 10.2% like-for-like growth. Again, good momentum with clients in different country. Of course, Greece and Eastern Europe are helping us to grow of course. High comp in Q4, I mentioned, it was 18% growth last year. So of course doesn't help for 2019, but as a whole the growth is fantastic more than double digit. And in terms of margin, we are progressively continuing the asset as well as engage over the last two years to narrow the gap versus the other division and we are now at 8.3%. I just want you to remember that four years ago we were 1% in this zone. This difficult to read because you have here 12 months of TP India that was a former business of Teleperformance, plus nine months of the ex-Intelenet business. So we have a 13% like-for-like growth, which gets us to the two approach. And the margin as you can see is outstanding. Just a point that is to be clear, we decided with the full management of India to reduce its decision to reduce the domestic part of some business that we are not delivering the good margins that explained partially the level of the growth that we achieved in Q4, but it's done for the sake of the business and to improve the margin and to concentrate to results either in 2019, but also starting 2020. Specialized Service. I know it was a concern of a follow you whether we will be able to deliver good growth. So we are back on track. 7.6% like-for-like growth in -- for the full year and 9.5% in Q4. Everything is good there, either for a LanguageLine solution and also for TLScontact that has been able to develop the added value service to the U.K. applicant. And of course there is a sharp increase in margin. Here I just wanted to stay a minute there and I'm sure you have noticed that for those who we are looking to us for a long time. The two made better margin division meaning Ibero-LATAM and Specialized Services are delivering fantastic figure in terms of growth in Q4. Let's move to the other point, operating profitability, little to say that you have not seen already. Here you have the performance share plan impact and some other nonrecurring items. We were €5 million at the end of June. So we are now €9 million, there are 2 or 3 major minor stuffs that are happening there, but so little to say compared to last year. We delivered an operating profit EBIT of €621 million growing by 28.2% versus last year. Moving to the earnings performance financial results, of course here you have the impact of IFRS 16. And if you strip that out you will see that we have been able to reduce our financial charge into -- while in the meantime, on an average basis the debt has increased, it's because we have been able to take advantage of the level of the rate especially in euro and we have been able to decrease the debt especially as I mentioned earlier on at the end of the year. Second point which is interest probably for you is the tax rate that moved from 28% to 24.7% this year. This is due of course to two things. One is India the other is mainly India and the other in Greece. So we have a reduction in the corporate tax income in India that has a one-off effect that is taken here and it will be a recurring effect in the future. But we believe that the tax rate for 2020 will be much more in the range of 27%, 28% as again. Finally net profit of €400 million as mentioned a minute ago. So I'm going to give you a word about cash flow because I know all of you are very interested in that and say okay, Teleperformance has -- should have delivered a better cash flow. So we have €321 million and why? It's because the working capital. It's difficult to grow so quickly and not to have a money kept in your balance sheet. Just to give you an example, we have grown €141 million in the Q4 versus last year. Actually and part of it has been done in December much more than last year and especially in LATAM, so where the DSO is longer than elsewhere in the group. So that is the reason of this surge in working capital which is for me a good news somewhere. Just for you to know and I'm speaking as of the control of the financial team that this year. We have collected more than close to €50 million in working cap. We have already a positive inflow of working cap of €50 million in January. So the money is back. So don't be afraid by that. Finally as you see the net capital expenditure is under control 4.7%. While we have significantly more workstations that we had last year, we had 23,000 versus 12,000 -- 12000 last year. So we have been able to control to monitor our capital expenditure cost. Balance sheet, I'm not going to spend some time, just a word about the net debt. As I told you we have been able to reduce our debt. If you take out the IFRS 16 impact from €2.1 billion to €1.9 billion of course there is a net free cash flow of €321 million. Financial investment is mainly some buyback of minority shareholders. We paid the dividend hopefully. And on top of that you have the FX impact of €730 million that inflate artificially the net debt to €2.6 billion. If you take that out, a pro forma debt-to-EBITDA ratio has moved from 2.6 last year to 2.06 by the end of ’19. Finally I'm not going to be long on that, but I hope we will be able to reduce again this level of cost of debt to below €1.5 million this year. And we propose a stable payout ratio of 35%, meaning a dividend per share of €2.4 as mentioned by Daniel. Finally confirmation of the 2020 outlook, at least like-for-like growth of 7% and plus 10 basis points in the margin. That's what I can tell today. Let's leave the floor to Q&A.
A - Daniel Julien: Thank you. We are open to your question. Mr. Jousseaume.
Patrick Jousseaume: Good morning. Patrick Jousseaume, Generale. Two questions please. First question on coronavirus, could you give us more -- let's say more details maybe a number of people in China, average China and things like that? And my second question is about M&A. You say M&A probably in 2020, 2021 a few months ago, it seems to me that it was more 2020. So what does it mean? Does it mean that you have missed some deals recently, or can you explain? And third could you give us example of how you leverage Intelenet high-end BPO solutions to your base of clients please?
Daniel Julien: Okay. Very quickly coronavirus is you know what the Chinese government said, stay at home. If you went outside of your city for the Chinese New Year, don't come back. If you went away from Beijing stay in quarantine for 14 days. And the operation to operate right now in China, we need to get the approval of the city authorities, city by cities and like everything in the Kingdom of the Mandarins, it's never just straight and simple. But at the same time, the Chinese government making these smart decisions said, you don't come to home, but the companies are going to pay you your salary. So we pay the salary, but the people are not working. So that's the reason why it's going to impact. We measure this impact. And if the situation stabilize and decrease like it seems it's happening. The negative impact that we would have had end of January or February, beginning of March will absolutely no change our guidance. If we discovered that after China, it's India and Egypt that is impacted the same way, we will come back and tell you another story. I think nobody can say more about the coronavirus. The M&A you are an expert in reading in between the lines. No there's nothing changed we at work as usual, but when you are worker you don't decide all the time when the work is going to be finished. It depends also of the sun and the rain. Example of clients with the acquisition of Intelenet, it's all over the place. It's a transformation. It's all over the place. There are dozens and dozens of project that are transforming into hybrid solutions that help us to really address the concern of all our big clients, which is how I can do faster, simpler, better and more cost-effective really if one acquisition that we did in the past was fantastic for the group was of course the LanguageLine solution. But if one acquisition has been a transforming factor for the group it has been the acquisition of TLS. And you see also an element of that in the positioning, the new positioning of Bhupender Singh, who comes as a Global President for the world for anything that is business transformation including knowledge services, IT, AI and so on, okay. Thank you very much.
Unidentified Analyst: How many acquisition do you plan to put in during 2020? And will it be similar in geography distribution?
Daniel Julien: I'm not going to give you the exact numbers, because that would put us too much within frame, within a box. But typically, yes, we had a momentum in LATAM in 2019, and this momentum is continuing strong. They will be probably more CapEx and it's more refreshing and renewing of CapEx in the U.S., because we are transforming also our -- I would say traditional setting of the U.S. to give it a better 21st century fresh look and feel.
Olivier Rigaudy: Yeah, yeah. We are going to effectively invest on top of Ibero-LATAM also in U.S. and Philippines and South Africa.
Unidentified Analyst: So can you talk a bit more about the pipeline in Specialized Service, can we break out the growth between LATAM and TLS.
Daniel Julien: First, the Specialized Services are really two different things, because LanguageLine services at 30,000 clients. So it is on the kind of a leading dynamic, because we are number one on the U.S. market for online in deposition over the phone or via video. There is a strong dynamic that has no reason to be impacted. The second thing and I would say in LLS video is growing very, very fast. We call that our interpreter on wheels, because we come with the wheels next to the patient at the hospital and with our iPad and you have this very futuristic situation, in which you have a doctor, the guy, the person who is in the bed and the interpreter, and the three have a nice chat to make sure that the doctor is going to operate the right side of the body hopefully. Regarding TLS, our contracts are comforted and do not see any specific risk in 2020 except that TLS is also as you can imagine impacted by the coronavirus because we process the visa for the French government from China right now. But typically the good thing February due to the Chinese New Year and January, February, March are not high-volume months. Of course, I hope that the Great President of the Great America is right that the coronavirus is going to die with the sun and the warm, because if coronavirus was still a super big concern and would impact the travels all over the world during the summer season of the northern hemisphere, of course it would have an impact. Okay?
Unidentified Analyst: Olivier, I think you have mentioned a 1% impact on the coronavirus during the earlier part of the presentation. What is at the revenue or EBITDA line?
Daniel Julien: It's – it's the – in that case it's at the EBITDA line here. But it's okay. It's okay. I mean it was part of the natural.
Olivier Rigaudy: Maybe we take some question?
Daniel Julien: Yes.
Christophe Chaput: Good morning. Christophe Chaput from ODDO. Three questions for me please. I'd just like to come back on India the termination of some contracts. Could you tell us what is the sales on an annual basis that you want to terminate?
Daniel Julien: Is that terminated? So I don't remember. No not significant. A couple of dozens of million.
Olivier Rigaudy: On domestic part just to be clear if that’s fine.
Daniel Julien: With lower margin.
Olivier Rigaudy: With very low margin.
Daniel Julien: It's just lower margin. It improved – it's just a free up of capacity to get business at better margin on these capacity. So we just a natural cleaning like you clean utensils [ph] from time to time.
Christophe Chaput: As far as I know I mean the business in India, the domestic is let's say €150 million. So you cut 10% of that or...
Olivier Rigaudy: A little bit more.
Christophe Chaput: Okay good. The number two is on Eagle project. So you gave us the number €50 million to €60 million. Just to be sure is it CapEx or OpEx, it's mainly CapEx I assume. And a very basic question for me, please. Is it – I mean it's made for improving the security in-house at Teleperformance, but could it be as well a kind of leverage on the authority?
Daniel Julien: So thank you for the question. I love this question. I'm going to tell you something. When we decided to do Eagle, we wanted really to benchmark with the cybersecurity team of the best-in-class in the world. And who are the best-in-class in the world in terms of data security? Typically the very large banks, because they know that they have a natural target of fraud. So I went to see some of our friends. I remember, specifically a nice meeting with the CEO at JPMorgan Chase in New York City. And some of our clients have been super nice saying, we are into this boat all together because the bad actors they are the bad actors. And it's the fact that exists between the good and the bad in the real world is also existing in the virtual world. And so they help us to benchmark with their security, data security team what could be the best practice. We took a lot of advice from the most advanced consultant in the world specifically Ian Walden. We worked with super company for the end-to-end detection point with companies like CrowdStrike that you probably have heard about. And so – and we put together a comprehensive package of solution that have for reason first to segment our network. So if one part of the network is unfortunately infected, we can immediately close all the doors that go to the other part of the network. And so the whole network is not affected because we have some clients with more or less critical data and security. But besides that there the constant surveillance at all the data on three points of anything that is happening. There is the creation of 24/7 SoC that monitor everything at all time plus OpEx, plus training, plus we are an army of 330,000 people. I'm going to start by something super stupid [ph]. You have – you – fiscal authorities that says, hey, we have a problem with your number and we need to reimburse you €100. Please can you confirm your number. Okay, we are never going to do that because we immediately understand that it's phishing but so many people who do not understand that. And this is the first source of data security breach that can cause disaster. Every single company is facing that today. The commitment of Teleperformance is to be by the end of 2020, mid-2021 among the very, very best in terms of security. So it becomes competitive. Of course, it becomes the factor of competitive advantage because in fact, if you go with us you know that you are not going to catch any bad sickness.
Olivier Rigaudy: You referred to some – so there are some questions there? No, so I'm sorry for the...
Nicolas Tabor: Nicolas Tabor from MainFirst. First on LATAM, I wanted to know, could you give us some idea of the impact of the development of D.I.B.S there. And then you greenfield projects you have started there compared to the nearshore impact on the organic growth? Then secondly, how do you address the -- do you have any impact from the political tensions that may have a reason in LATAM? And how do you address that risk as it's your now fastest growing region? And then maybe could you give us already an idea of the level of CapEx to sales for next year as you're still investing?
Daniel Julien: Yeah. So there are a lot of questions about LATAM. First, the political risk in LATAM, no we have not been impacted. Second, as usual the media gives you an image of the reality that is not exactly what's happening in the streets because I can tell you leaving in Miami when I see Paris burning, I don't think that we are in 1944. But I think -- so we do not have any impact in LATAM. Second -- and in Colombia specifically, yes, it was a little bit more cost because we had to best our people, which we already do and so on and so, but it was okay. Second, Colombia is the place that we choose to develop our LATAM center of expertise in terms of deals. We have an extraordinarily strong team there and developing smart solutions for clients including financial institution. That all travel or e-commerce that help us to dramatically develop our business. The driver of the outstanding growth of LATAM has been -- the main driver has probably been the transformation of our offering of solutions in LATAM with -- either with company from LATAM or with U.S. companies coming nearshore, but being very seduced by the added value provided by what we propose. So I would say the outstanding growth of LATAM doesn't come from a super new attractiveness for the nearshore but comes directly from the transformation of the offer.
Olivier Rigaudy: You have understood that D.I.B.S. and now cost savings are more and more mixing. And the way to follow that would probably change in the coming months.
Daniel Julien: Teleperformance is going to become D.I.B.S. everywhere.
Olivier Rigaudy: Yeah, so it's what happening in fact. So it's difficult to isolate what could be understood as D.I.B.S. only. But CapEx we are going to be at least in the range of 4.5% this year, except if there are fantastic development that may occur tomorrow but probably in this range of 4.5% as we are since the last four, five years now in a row.
Daniel Julien: The last question that I see, you referred to some softness in consumer electronics in both LATAM and CEMEA is very simple -- you follow the economy. When we speak softness in consumer chronic is specifically in Asia-Pacific and specifically in China. You all are aware of a little rift regarding Huawei and what it -- and the consequence it can have on U.S. companies. And the consumer electronics has not been the most dynamic activity sector of the year 2019. The beauty is as we saw all activity sector, some grow less, but some grow more. And at the end of the day, you have a positive average.
Olivier Rigaudy: It's exactly what I mentioned about the €480 million a minute ago.
Antonin Baudry: Good morning. Antonin Baudry, HSBC. 2019 has been a strong year of new contract win with possible to over comment on hunting versus farming during the year 2020 and what it could imply in terms of granularity of topline growth quarter after quarter. You're usually cautious at the beginning of the year. So, you target above 7% topline growth for the year, but the economical environment, plus coronavirus seems to put a bit more pressure this year. How cautious are you this year versus last year?
Daniel Julien: We are the same. We did not change. Promise. We have the same rule, same mindset. Let's say that, we feel comfortable enough to present these numbers in front of you, except if suddenly something unexpected would happen. And we take as hypothesis right now that the coronavirus is not something that is going to totally destroy the economy. If in two months from now, it would be different, I mean I can't -- I cannot say anything.
Olivier Rigaudy: Just a question about the path of the year. This 7% could be worked differently than this year. That means that, there are some weight of quarters that may change knowing that there are some contracts that are -- that could ramp up in the Q2 period. That's what I'm saying. I see that people asking whether we could divest in U.K. business, which have been causing trouble for some time. Clearly not. We are not growing dramatically in U.K. you have understood, but we are not losing money and we do believe that we are going to come back to a good situation.
Daniel Julien: Yes. In fact, we have to say that in U.K. there is a Brexit, but not only the Brexit. I don't like to blame everything on external factor. We also changed the management team of U.K. and we have a new management team in U.K. for now or something like nine months that is at work. And we are reasonably comfortable that we are going to see an improvement of U.K. in 2021, 2022. 2020 to 2021, '22. But U.K. is one of these northern countries where it's more difficult to make money than in some other places even though U.K. is a little bit more flexible than countries that I know in Northern Europe.
Olivier Rigaudy: Just a question about the tax rate 27%, it could be between 27% and 28% as a forecast for 2020, had a question about -- can you elaborate on the holding line and the right level of EBITDA generated there. You have to understand that holding line concentrates some revenue from the different sub, but also some cost and we try to control the costs especially in H2 this year. So, it might be -- it might continue in 2020 and we hope to be able to continue to support the sub with the same level of cost in the holding taking advantage of the growth of the group. So -- but it's difficult to predict today.
Daniel Julien: In any case, we hate bureaucracy. We hate everything that comes on -- all the expenses that are not justified directly by a positive outcome; we look at it extraordinarily closely. So, our nature is not to expand the cost of supporting the operation, but to make sure that we support the operation remaining lean.
Olivier Rigaudy: Are there other questions in the room because I have two questions there to answer? So -- what was the organic growth of D.I.B.S. last year and we answered that somewhere we are going to no more use this approach because the cost service with D.I.B.S. What is the content moderation growing at?
Daniel Julien: It's growing very fast, but it's still very small in our business. But you see that, it's a debate that you have everywhere whether you are in the U.S. or whether you are in Europe. You see what the president of Facebook said about the fact that he had 35,000 people in content moderation and that was the maximum number of people that I would have in Facebook. Content moderation is here. It's here to be maintained. We are a player into that, but along companies like Accenture, Wipro and many users.
Olivier Rigaudy: Mr. Stanley is raising a lot of questions. What is your DSO in LatAm versus CEMEA and up on average. We are roughly five to 10 days more for two reasons. One is Brazil, where people are paying longer. And secondly, we have to get back the VAT credit from the Mexican state that is always longer to get and difficult to predict. As all the cyber investment being expensed so far rather than capitalize and how much will be spent in 2020 -- in 2020 and in 2021. We don't capitalize any costs for IT. We are far from doing that since it's very long. We never did that. As far as 2020, cost for -- and I'm speaking not of CapEx. But on OpEx, I do believe that you have to take in account 10 basis points versus at the group level. That gives you a good idea of what kind of costs could be spent in 2020 for Teleperformance Group. I think there is no more question.
Daniel Julien: So, if there is no more question we wish you all the good and we hope that we will not be so concerned by the coronavirus next time we are going to meet.
Olivier Rigaudy: Thank you.